Operator: Welcome participants. It is now my pleasure to introduce Ms. Christina Lalli, Vice President, Investor Relations with TRX Gold. Christina, the floor is yours.
Christina Lalli: Thank you, Chuck.  Welcome, everyone, to the TRX Gold Corporation First Quarter 2025 Results Presentation. With us today is our Chief Executive Officer, Stephen Mullowney; Chief Operating Officer, Michael Leonard; and newly joined Chief Operating Officer, Richard Boffey. [Operator Instructions]. The meeting is being recorded. [Operator Instructions]. I would now like to turn the meeting over to Stephen Mullowney, CEO.  Please go ahead.
Stephen Mullowney: Yes.  Thank you, Christina, and welcome, everybody, to the Q1 2025 Conference Call for TRX Gold. First and foremost, I'd like to introduce our new Chief Operating Officer, Richard Boffey. Richard, why don't you just give a quick introduction to yourself. You're at Buckreef today, and you're in one of the rooms where our technical services team usually resides.
Richard Boffey: Thanks, Stephen.  Good morning, everybody. Yes, glad to be on the call. Happy to be starting now with TRX Gold and to get my hands dirty out at Buckreef. It's a wonderful resource, and it's very early days, but this place has got a great potential, and we look for -- I'm very much look forward to taking Buckreef to become a significant operating gold mine in Tanzania.
Stephen Mullowney: Excellent.  Thank you, Richard. It's good to have you on board, and I know on behalf of the executive team are very excited in the Board to have you on board. So Glad you're enjoying Tanzania today. It's much warmer in Tanzania, I'm sure than it is here in Toronto today. We're dealing with minus 15 degrees Celsius. So we're quite cold.  And for our U.S.  investors, that is probably minus 40, quite cold. So without further ado, Christina, can you forward to Slide #3, please?  There we go.  So what I would like to focus on is on our prior calls, we've always focused on what we've done in the past. What I'd like to focus on is what we did in Q1 2025. And what does that really mean? So in Q1 2025, as we -- in our press release indicated, we had a lower grade profile than we had in Q1 2024. So what that did is a lower grade profile means there's less gold going to the mill. And that's normal in a single asset mining company where you'll go through periods of lower grade profile, higher strip ratio and then get into periods of higher grade profile, lower strip ratio over time. The gold is where the gold is. You can't influence it. You have the influence in the way you go about mining it and a mine plan is set up to maximize net present value over the short, medium and long term. But in that lower grade profile that we had in Q1, the takeaways that I take away from that is the expanded plant has come online has reduced cost per tonne, particularly in the operating cost basis by over half. We are still even at a lower grade profile and a lower recovery rate, which goes hand-in-hand given the metallurgy to Buckreef 4, we're still a very low-cost asset. So what does that really mean? It means as we continually explore and find more and more resources, Buckreef will be more and more profitable. So we can find higher grade resources and bring them into the mine plan such as what we have -- looking at Stanford Bridge, what we've had at Anfield and put the drill bit and expand those over time. More than likely, those are going to come in and be even lower cost than what we processed in Q1 2025. Our grade profile in Q1 2025 was below the average grade of the deposit at about 1.25 grams a tonne versus 2.5 grams a tonne in Q1 2024. So what we've proven out in Q1 2025 is that this is a low-cost asset. And with that, the focus needs to be now on expanding the resource and expanding the production profile over time. As more and more resources come in into the mineable resource category, that means we can continually expand processing. But there's a balance between what's available from a mining perspective and the processing capacity size and bringing on those new exploration resources over time. And the balance in that is our current business plan is to take cash flow from operations, which is very healthy again in Q1, given where the gold price was, given the lower operating cost and continually reinvest it into our business to continue to grow. I'll pause there, Mike, any comments that I missed out there from a high-level overarching business proposition perspective?
Michael Leonard: No, that was really it, Stephen. I mean just to reiterate, we've been talking about this for some time now, but we've been explaining that this is a scalable operation, whereby we can grow the business without adding a whole heck of a lot of additional overhead. And Q1 was really the first full quarter operating the 2,000 tonne a day plant at capacity. And consequently, to your earlier point, we saw a real benefit in operating costs, particularly processing cost per tonne, which has come down by over half. And again, reinforces the fact that this is a low-cost, high-margin operation.
Stephen Mullowney: Exactly.  So next slide, please, Christina. So again, the business plan remains intact. It's been proven out even further in the fact that we can do this even at a lower grade and lower recovery rate and continually move the football down the field as we would like to say, in America or where Richards from in New Zealand put runs on the board. And so the continued business plan is to continue the expansion over time. We're in current planning phases for that now and to continue to have a drill bit in the ground for further exploration and growing that resource to bring into the business plan over time. Next slide, Christina. So with regards to what Q1 looked like, we had equivalent production as Q1 2025 with half the grade. We had an increase in adjusted EBITDA and cash flow from operations because those -- because the cost profile was lower as well as the increase in gold price from Q1 2024 enabled us to have higher adjusted EBITDA and higher cash flow from operations than we did in the prior years. So the financial metrics are still very, very healthy. We have now gotten up to over 2x investment into the Buckreef asset from the capital raises that were done well over 3 years ago now. And so the business plan, although slow at times and it feels slow to us at times, has been proven out, and it is prudent capital management, minimizing shareholder dilution to this point in time. And we'll continually continue to expand the operations as well as the exploration drill bit. As I mentioned right now, the investment is going into the stripping campaign that's necessary to open up the further parts of the ore body that has a higher head grade. That will produce more cash flow because of the higher head grade as we get through the stripping campaign, which will then be continually reinvested into the asset, particularly around exploration. Christina?  So as I mentioned, we are capturing the record high gold prices by keeping a focus on cost. We can control costs, particularly on a per ton basis, and we've done very well on that. As we mentioned, the variable cost in operating has decreased in the processing plant. We are also tackling the operating costs on a mining perspective. that's lagging a little bit further than the processing, which we focused on first with the expanded plant. Mining costs will continue to come down as well as we utilize some of our owner-mined fleet. That fleet right now is being utilized to expand what I'll call infrastructure, which is tailings facility and other types of facilities in... Do we have the background noise? Excuse me.  I think that's our service provider for this call. Are not muted right now. So [indiscernible] if you could please mute, that would be greatly appreciated. So we're utilizing that owner mining fleet to build the infrastructure around Buckreef. We've also brought in a current set of fleet to replace processing equipment, so loaders and things like that. So that has had an impact on the operating cost. And that was coming in towards the end of the quarter. So we didn't have that fleet on site during the quarter. So those cost reductions of having our own fleet in the processing plant such as loaders haven't been fully reflected yet into those costs. So we are benefiting from gold prices. We are keeping a focus on cost. Production is in line with the mine plan and expectations given the grade profile where we are. We are benefiting from the economies of scale of the asset, and we are continuing to have some good drill hole and exploration success, particularly around Stanford Bridge, which has brought us record drill hole results at Buckreef. It is adjacent to the main zone and is in between the main zone as well as the Eastern Porphyry Anfield trend. So one of the next steps for us there, and we'll get into this in a second, is to do a geophysical survey on the property to try to determine if there are any similar trends like Stanford Bridge between the main zone and the Anfield and Eastern Porphyry zones, which wouldn't be abnormal in this type of deposit once you find one of these things. Next slide, please. Again, it's the same -- this slide is the same as a prior one. You'll see some pictures of our newly expanded plant. Again, these things -- this plant has been able to bring in lower cost, and that's the focus. Buckreefs' low-cost asset even at lower grade and at a lower recovery rate profile. Next slide, please. Mike, do you want to present this slide, please?
Michael Leonard: Yes.  Thanks, Stephen, and good morning, everyone. Thanks for joining us here today. I'll be maybe a little bit repetitive with some of what Stephen has already had to say, but I think it's important to reiterate just so people understand some of the key drivers of the quarterly financial results. Just to recap, we did indicate this with our year-end MD&A. We scheduled a strip campaign over the first half of this year, where the mine schedule had us mining a higher proportion of waste tonnes with the goal of accessing higher-grade ore blocks in the second half of the year. As Stephen touched on, we're on schedule and on sequence. But as you will have seen, as you work through this strip campaign and as you move a higher proportion of waste rock, inevitably, you realize a lower average head grade. And in our case, as we get through the harder rock, a slightly lower recovery, again, because of that higher proportion of waste rock. But the good news, and Stephen touched on this, the good news is the expanded plant did exactly what it was supposed to do. We increased our throughput by over 100% year-over-year. We're up to over 1,700 tonnes per day. So it's operating at nameplate capacity with scheduled maintenance and downtime. And that increased throughput offset that lower grade and recovery. And consequently, as Stephen touched on, our production was effectively flat year-over-year. However, we did benefit from these lofty record gold prices. We realized $2,653 an ounce as our realized price in the quarter. That was $700 an ounce higher than last year. And consequently, it led to year-over-year growth in key financial metrics like revenue, gross profit and EBITDA. So this really demonstrates, as we touched on a little bit earlier, the significant leverage that Buckreef has to the gold price, and it's coming through our financial results accordingly. Additionally, and we touched on this at the outset of the presentation, we had spoken about how this operation is scalable. We did say there's very little overhead that we end up having to add to grow this asset. We did bring the 2,000 tonne a day plant operation online at the back end of Q4 of last year. And the idea that we discussed in our press release is that we would benefit from economies of scale. We did demonstrate that we were able to do this firsthand in Q1. This was the first full quarter of operating that plant at 2,000 tonne a day capacity. And consequently, the variable cost per tonne have improved and benefited greatly as a result. The 100-plus percent increase in throughput, coupled with very little additional overhead led to a 111% decrease in processing cost per tonne. Processing cost per tonne came in at $12.60. That's well below international averages and certainly well down from where we were this time last year. Similarly, Stephen touched on this as well, but mining cost has come down. And as we start to use this equipment more regularly and help supporting things like plant feed and site development operations and projects, we expect to see costs come down there as well. As far as guidance, we continue to reinforce the fact that we expect gold production to be higher this year than last, and that's a function of the higher throughput capacity of the expanded processing plant and do also expect cash cost to be in line with last year's levels as we work through the strip campaign and get to that higher grade ore blocks in the second half of the year, we expect to quantitatively guide to both production and costs, which we expect will come through in our Q2 release. Stephen, back to you.
Stephen Mullowney: Yes.  Thank you, Mike.  So with regards to exploration, Christina, next slide, please. So we do need to get further exploration around this property. What we're seeing is very good results, particularly Stamford Bridge. Let's not forget Anfield, which we discovered in the last 18 months as well. Stanford Bridge is returning the highest grades that we've had. We do need to still do a lot of work on that to bring that into a mine plan. And we do need to have our drill hole spacing to the appropriate width of around 25 meters to get it into the indicated category. And we have to figure out what's the best way to go mine this, whether it will be open pit underground or a combination of both. And -- but the good news is it's adjacent to the pit that's how it was discovered because it intersected the pit, and it will come into mineable resources over time. Anfield does need to be drilled as well and to bring that into mineable resources. So there's a lot of money to be spent here on exploration. Right now, we're focused on getting the cash flow from operations up after the stripping campaign, and then we'll come back to the market with what we expect to be doing on a drill hole campaign and how many meters we expect to put into those areas. So the good news is the drill hole results are really good on exploration. I'm really excited for it. It will come into mine plans over time. There is a focus on mineable ounces in our exploration program. But let's also not forget the main zone. The main zone is still open at the south, still open in the Northeast. There's just a lot of potential here around Buckreef to bring this into reserves and resources over time to continually expand the asset. Next slide, Christina. As I mentioned around Stanford Bridge, look, any time you get 250-plus gram tonne meters, they're great drill holes. We've gotten that in one hole. We got 200 on other holes. These are really, really good results. Really, really excited for what's going to be here. And that's the nature of these type of properties. There's lots of gold around it, and you have to get out and explore and find it and continually go. Now Stanford Bridge is a name. As you can see, there's a little bit of a trend here. We have a lot of soccer fans from a U.S. perspective or football fans from a European perspective or the rest of world perspective on site. They do like the English Premier League stadiums, and that is a trend that we had.  We had Anfield.  I think, Richard, you're a Liverpool fan, right?
Richard Boffey: Yes, you made me come on speaking for that, that's correct.
Stephen Mullowney: That's correct.  Yes.  Unfortunately, Stamford Bridge is Chelsea, right?
Richard Boffey: Yes, but it's a good stadium.
Stephen Mullowney: Good exactly.  So you get the sense that we do like to involve the local staff in the naming of these zones, and they're quite excited by it. So I don't know what will be next, but certainly, when we find a new zone, I'm sure there's going to be a very good debate on what we name it. You may not like it, Richard, and the other guys may not like it either. I do have some names in mind.
Richard Boffey: Not a geologist, Stephen, these things are not too much for me.
Stephen Mullowney: Exactly.  So we look forward to more drill hole results as we go forward. So again, we are utilizing the cash flow from operations to continually fund growth. I won't go over that. We do have robust CSR plans. We haven't talked about that here. We continually invest in the schools and the health facilities in the region. That is very much welcomed. And we'll continue to upgrade the infrastructure in the region. One of the things that we have focused on, too, with our new owner mining equipment on site is the maintenance of the road is much better than it was before, and that is also very much appreciated by the locals in the community. Next slide, please.  Capital structure.  Again, we did, I believe, in December, we're looking at what has happened to our share price. We have hired in the past, people look at short sellers and things like that, similar people that other companies have hired. We also have, I believe, and we'll look at this analysis in January, quite a bit of tax loss selling in the December period as well, and we're starting to see a little bit of a recovery from that. But what I can say is, fundamentally, the business is still sound, as I mentioned to shareholders. Our goal is to build a business up approach in providing the fundamental valuation from the asset to be reflected over time in the market and through market participants versus attempting to drive a share price at the top without having the fundamental asset value underneath. And so we'll continue to have that sort of business philosophy. I don't see that changing in the short to medium term or long term. And now I'll open it up for questions.
Operator: [Operator Instructions]. Our first question will come from Heiko Ihle with H.C. Wainwright.
Heiko Ihle: Welcome to Richard. I think you handle getting put on the spot with a soccer trivia quite well. I'm [indiscernible] fan. So anyways congratulations on some pretty nice drilling that you guys said that should keep the site going for a long time, too. Looking at some of the historical head grades, obviously, the 1.29 grams per tonne we had in the quarter was a bit lower. I assume that pendulum is going to swing back in the near term and for the rest of the calendar year as well and fiscal year. But that said, the recovery rate declined quite meaningfully. And obviously, this was due to the lower grade ore and the stripping. But then in the release, you also said it's going to get better in the second half of 2025. So just to confirm, is there going to be any impact at all this quarter? And if so, how much? Just trying to work on our model, please.
Stephen Mullowney: Yes.  So on Q2, the head grade is going to be lower and probably a little bit slightly lower than what we had in Q1 is where it's coming in. The recovery rates will be -- I don't have -- I suspect slightly higher. What you have in recovery rates, Heiko, is we do have powder gold. So the finer you grind it, the higher the recovery rate you usually get. And we also have consistent tail grades. So no matter what your head grade is, your tails grades are going to be within a certain range. So the team right now on the medium -- I shouldn't even say short to medium and long term are looking at and I mentioned this before, operational efficiencies around the plant.  So it's great.  The plant has 2,000 tonnes per day, but it does need to be upgraded to get those higher recovery rates. And what the team will be looking at over time is putting in a SAG D ball mill in the front to get a -- and then going through the ball mills, which should hopefully increase throughput over time and as well as having a flotation and a regrind. So you will look at a press release that we had around met study, the first met study that had that sort of flow sheet and that increased the recovery rate significantly because you get a much higher grind size. So you're moving from 80 micron -- sorry, 75 microns passing 80, which we have today or 80% down into around the 40 to 50 microns passing the same percentage. You get -- expose more gold to the cyanide, you get a higher recovery rate. So that's been worked on over time. So that will have a good impact on cash cost and even operating cost per ounce. So that will be the focus over time as we continue to look at operational efficiencies. And I ask, Richard, your knees deep into this. Is there anything to add to that?
Richard Boffey: Not particularly.  There's always a trade-off between how much we can put through the mill and how fine we get it. So there's always a continual optimization process going on at an operational level. But the big drivers are to -- what will really drive recovery up is to put a flotation circuit in, correspond that to fine in a regrind circuit for that concentrate and then it exposes that to good cyanide levels, and you'll see recoveries coming up well into the 90s. So that's the big win out of flotation circuit.
Stephen Mullowney: Correct.  And so with regards to head grades, Heiko, the head grades will -- are anticipated to improve quite dramatically in Q3 and Q4 of this year as we move through the strip campaign and get to the southern parts of our pit. These higher grades are in and around the old workings that were on the property from the underground mining days back in the late -- I believe, late '80s, early '90s. And it's no accident that they went to that part of the deposit first in the main zone given the grades that are there. It does require some maneuvering around from a safety perspective because there are some underground voids there, and we're managing that now and investigating how best to do that.
Heiko Ihle: Fair enough.  Fair enough.  Moving on from all that. That's actually a very comprehensive answer, and I appreciate it. It's now been 4 months since the official commissioning of your plant back in September. I mean, given the recency of all of that, there still any quantifiable improvements that you're seeing on, say, on a week-by-week basis right now? You've hinted at some things in your prepared remarks earlier, but I mean, maybe just some granularity you can provide the analysts and investor community, please?
Stephen Mullowney: Yes.  So some of the things -- sort of the crushing circuit is now up and running at full capacity. And then -- so there have been some tweaks to that on screen size, on Shaker decks as well as making sure that we get the liners on time and what liners to order. And part of what I mean there is we now have an understanding how quickly liners wear out, those sort of things. So those operational sort of efficiencies are now in the crushing circuit. On the milling circuit, what I would say is the small -- the 3 small ball mills we're currently, what I'll say is doing a major refurbishment on the last one. So we did 2 of them in December, and we're now doing another one here in January. I think we're about 2/3 of the way through that. It should be online in the next couple of days again. And so that is necessary in order to maintain the equipment to make sure that we have the throughput over time. Now it's the time to do it when you have a lower grade profile. I prefer to have the higher grade going through it when it's taken down when we get to that higher grade. So that's being done. So processing will be slightly down in Q2 as a result of that. We now have a gen set that just arrived over the last couple of days. That enables the much larger 1,000 tonne per day ball mill to be online all the time. So when power goes down, we do our current electricity setup with the gensets puts that down for a short period of time. So now that has been rectified. We're also in process of putting in place a new and ordering a new elution plant. That will enable us to strip and regenerate carbon, activated carbon for the tanks to help increase recovery rate as well. So that project is underway. So what you're getting a sense from us is there's a lot of operational efficiencies that will come through in the latter half of the year and early next year as we get through that plant.
Operator: Next question will come from Mike Neuhauser with Roth Capital.
Unknown Analyst: With regards to a flotation circuit, what would be the timing of that, assuming that you decide to move forward with it? And how much of that could be funded do you think internally?
Stephen Mullowney: Yes.  So the current thing is we are looking at that, and I suspect that will be a 12-month project roughly because there's lots of components and lots of moving parts to it, and we'll come to the market over time when that is upgraded. With regards to financing of that, look, Buckreef now has over $17 million to $20 million of adjusted EBITDA. We'll move up that more quickly by more than likely debt financing that. We're in discussions with debt finance providers for that now.
Unknown Analyst: Okay.  And with regards to Stamford Bridge, I can't recall how that discovery was made. Is it kind of showed itself in the pit wall. It seems like when I was out there, there was higher grades in that area where that might be coming in, but I may be wrong. But how soon could -- how was that discovered? And how soon could that come into the mine plan?
Stephen Mullowney: It was discovered 2 ways. One was we sunk a metallurgical hole in order -- no, sorry, not the metallurgical hole, we sunk the geotech hole for the -- in order to determine what the pit sop angle should be. And there was gold in that particular geotech hole. And then when you looked at where the geotech hole was and you looked at the side of the pit, you could see it. And so that's how it was discovered, and then we put in some drill exploration holes, and it came up fairly well. So that's how it was discovered. It wouldn't be the first mine where you have that type of discovery. So that's in essence. That's why we need to do the geophysical and the magnetic works in order to figure out if there's any other of these type of zones that cross the Buckreef property. What was the second part of your question there, Mike?
Unknown Analyst: Yes.  How soon could it be because my thought was that the fact that you could see it on the side of the pit. It seems like you don't have to go deep to get at least some of the goodness out of it. But it looks like it's right there, but then again, it looks like it extends a lot deeper, too. And I just -- it's still early days, of course, but just curious what your thoughts are.
Stephen Mullowney: Yes.  So it's going to dip like that, right, a little bit is what you're seeing, given what you saw in the drill results, you read them correctly. So we have to put in more drill holes to get more higher confidence on the continuity. And then we -- which could be higher or lower, right, depending on what comes back in those drill holes. And then we have to figure out what's the best way to mine it, whether it's going to be open pit for part of it, underground for another part of it and bring that in resource. I think we're at a stage now where we conceptually start looking at these sort of scenarios, but we're not at a stage to move it into the mine plan yet.
Unknown Analyst: Good answer.  And if I could just ask Richard, what is excited about coming to TRX? And that's my last question.
Stephen Mullowney: Yes.  I'll let him answer that one.
Richard Boffey: Mike, glad to hear your voice. Look, Stamford Bridge probably is the most exciting. But look, I've been at Anthem here before I enjoy working here. He got a very willing and porous workforce here to soak up the information and really seem to respond well to the challenges that we've got, again, challenges that we put them up for. So combination of good people and a very nice ore body. So I like the challenge.
Operator: I would now like to hand the call back over to Mr. Stephen Mullowney, who will take us through questions submitted in writing. Please go ahead, sir.
Stephen Mullowney: Yes.  So we don't have too many questions today in writing. As you can tell, we constantly give quite comprehensive answer. So the question I have here is that some people have noticed that I've been on more podcast and wondering if we're going to sponsor podcasts are we planning to do more podcasts. So the answer to that, yes, we've been on more podcast. I suspect we'll be on more podcasts. Whether we're going to sponsor podcast, we will look at that and see what the value is. I think that's certainly something that we're open to. Are we going to do more podcast?  Yes.  And I think you'll see a series coming out of Tanzania around podcast around some of our employees, where we think we're going, how we're interacting locally and those sort of things will be pushed through our media channels over time. We do have people hired in Tanzania to help us do those type of podcasts. And certainly, we are doing more podcast over here. So yes, this business, as I said, it's a low-cost asset, even at low head grades, it continually expands. There is a good investment thesis here, and we need to get out to the market and tell more people about it.
Unknown Executive: Trying to see if I got another.
Stephen Mullowney: Yes.  I think Greg is on the line. Chuck, if you could put him through, that would be great.
Operator: Mr. Greg Weaver with Invicta Capital Management, please go ahead.
Gregory Weaver: Just 2 quick questions. Is the head grade mainly a function of oxide versus sulfide ore body?
Stephen Mullowney: No.  Head grade is just a function of there's different grades and different parts of deposit, and you got to mine it in a sequence.
Gregory Weaver: Okay.  And could the plant in its current state handle 100% sulfide ore?
Stephen Mullowney: It's not ideal.  Certainly, we would prefer to have the flotation circuit in place before that. What happens in the plant is you have your activated carbon in your tanks. And you want that carbon to be floating in the tank. So you want a viscosity in tank that's very good. So the ideal mix is about 10% to 15% oxides and the rest sulfides and you can get the flotation of your carbon to be decent with that, and that's kind of how we feed it today. So there's enough oxides around the property to do that.
Operator: Your next question will come from Al Krug with TRX.
Unknown Analyst: I've listened to different conversations of TRX on YouTube. Is there a spot where we can go and Were these different conversations, webcast can be accumulated where a shareholder can go to?
Stephen Mullowney: Yes.  So Christina is currently pulling together the various articles and podcasts that have been done by TRX, and we'll have them on our website. For instance, there was an article by myself in the Mining Journal this week, where I was talking about you'll never explore alone, and that's been posted on to LinkedIn and other sources. So we need to do a better job of getting that on to our website for you guys.
Unknown Analyst: And I watched a couple of the conversations with the oil folks, Denny and Bill Holter and so forth. And so hopefully, I'll be back on.
Stephen Mullowney: Yes, we should -- I'll follow up with -- I do that on a quarterly basis with those guys. And certainly, both -- particularly Bill and also Denny have a following, and they pushed out through their various media channels as well.
Operator: I would like to hand the call back over to Mr. Mullowney for any written questions.
Stephen Mullowney: Yes.  I think -- I don't think -- no, we might have more written questions. Give me one second. No, I don't think we have any other written questions.
Michael Leonard: There's one more, Stephen from Peter Smith.
Stephen Mullowney: Okay.  Mike, do you want to read it to me?
Michael Leonard: Sure.  The question was whether TRX still participates in Kagosi. And the comment was that it appears as though the Tanzanian government is issuing 2,000 additional mining licenses there. albeit it was an area that was previously designated as a forest reserve. Can you comment on Kagosi Stephen, please?
Stephen Mullowney: Yes.  So TRX no longer has Kagosi. It didn't have Kagosi when I joined just over 4 years ago. There was a lawsuit with the government around Kagosi and Intatemia at the time. With regards to licenses being issued in that area, I suspect there are mainly primary mining licenses, which are smaller mining licenses. In that area, if the number is right is 2,000, it would be smaller licenses. So right now, no TRX does not have Kagosi. The only license that we have is a special mining license at Buckreef.
Michael Leonard: David, I think that answers all the questions that were both in the queue on voice and text.
Stephen Mullowney: Excellent.  Well, thank you.  Thanks, everyone, for joining today. I'll leave you with this. in a single mine asset, you have to move through lower grade profiles at times as well as a stripping campaign that's normal. The good news is there's great exploration results continually coming in. We expect that to continue over time. And also, the asset is proving itself out to be a very low-cost asset even at a low-grade profile as well as a lower recovery profile in a plant that can get a lot more efficient as you're hearing on this call, we're still a low-cost asset. So it's proving out that in Tanzania, we can operate at a very low cost, we can build at a very low cost. For instance, this plant has costed us less than $20 million, and I continually say this, other assets to build a same size plant are in the $70 million, $80 million range. We've done this on time, on budget and extremely cost effective and are still very low cost. Are there improvements to be made?  Yes.  But I don't think -- and I'm quite confident in saying this, I don't know anybody who's done it on this cost basis anywhere else. And so when I reflect on that, the growth profile of this business can continue on a very low-cost basis vis-a-vis other miners that are out there. I would encourage you to tell your friends that if we continue to build this out, that it's going to be on a low-cost basis going forward. So that's what we're looking at, Richard, in our conversation since you joined, I think you're seeing the same thing as we piece this together, as we have a flow sheet right in front of us, we'll cost that out and it will be low cost relative to what others will build it for again.
Unknown Executive: Loads of potential.
Richard Boffey: Yes.  Loads of room for improvement as well. So -- and a wonderful ore body to do. So I think, yes, there's plenty of scope for us to increase production, scale us up significantly in throughput and in production once we get down to these higher grades in the deeper sections of the ore body.
Stephen Mullowney: And find other goals like Stanford Bridge and Anfield and hopefully move [indiscernible]. Absolutely. So there's lots of potential here. We're excited. We're doing it on a low-cost basis and stay tuned. So as I was saying in Tanzania [Foreign Language]. Thank you very much.
Operator: This brings a close to today's meeting. You may now disconnect. Thank you for your participation, and have a pleasant day.